Operator: Welcome everyone to China Xiniya Fashion Limited’s 2012 Q4 Earnings Conference Call. All lines have been placed on mute to prevent background noise. After the presentation, there will be a question-and-answer session. Please follow the instructions given at that time if you would like to ask a question. For your information, a webcast replay will be available within an hour after the conference is finished. Please visit www.xiniya.com under the Investor Relations sections. I would now like to introduce Chee Jiong, Chief Financial Officer. You may begin.
Chee Jiong Ng: Thank you. Good morning and good evening to all participants. Welcome to Xiniya’s fourth quarter and full year 2012 earnings conference call. You may find a copy of our earning press release that we issued last night in the IR section of our website or through PRNewswire. Joining me on the call is our Chairman and CEO, Mr. Qiming Xu. Please note that we will be making a number of forward-looking statements today and all such statements are subject to risks and uncertainties that could cause actual results to differ materially from the expectations and assumptions mentioned today, due to a variety of factors that affect the company, including risk specified in the most recently filed Form 20-F. Let me turn the call over to Qiming Xu, who will like to make some introductory comments.
Qiming Xu: [Foreign Language] Good morning and good evening everyone. Thank you all for joining us today. I am pleased to report strong revenue growth during the fourth quarter and full year of 2012. Xiniya, our distributor and through it’s authorized retailers as well as our competitors faced significant challenge in 2012 due to continuing economic uncertainties winkling over this global economy. Despite this, fourth quarter of 2012 total revenue increased by 10.3% to RMB532 million, exceeding our prior guidance of 4% to 7%. The increase in revenue is a direct result of our expansion strategies and the increase in sales volume strategy.
Qiming Xu: [Foreign Language] China economic weakness continued to affect consumer sentiment creating an environment where consumers and retailers has become more price sensitive. Our authorized retailers has taken a more cautious approach in placing orders experienced by a slight percentage increase in order value during our biannual sales fair in September 2012. This sentiment is across the menswear industry as other brand has begun to aggressively discount their products in an effort to clear the built up of inventories. Our distributors and our authorized retailers also took similar action to clear their built up inventory. In addition we reduced the retail price of our 2013 spring and summer collections by 4.2% which we strongly believe this imitative will help in top production of our distributors and our authorized retailers. While this reduced the company gross margin, we plan on increasing the sales rebates even to our distributors to both provide further support during the slowdown.
Qiming Xu: [Foreign Language] The reduction in prices was further assisted by numerous other initiatives we implemented during the year in an effort to strengthen our competitiveness and provide our retail network with the support they need to weather the current economic climates. This includes conducting training process for distributors and authorized retailers to strengthen their retail management and enhance their profitability as a refurbishment of our assisting outlook continued as well as a multi-level advertising promotional campaign for our retail network across the niche provinces in China. Selling and distribution expenses more than [collateral] during the fourth quarter of 2012 to over RMB91 million as a result of this effort. This initiatives demonstrate the degree to which we are working with our retail network to overcome this market fluctuation and facilitate our overall strategy to unify the image of our retail outlets to enhance sales.
Qiming Xu: [Foreign Language] The challenges in the menswear industries and China faced will most likely remain in this outcome, but I am confident that with the initiatives we have put in place, it will enable us to overcome them in the long-term, many of the initiatives we put into place will take time to fully bear fruit, but some have already began to yield the results, which I am pleased about. Those will provide us with additional avenue of growth as we push forward into 2013. I look forward to updating you all in the few months.
Qiming Xu: [Foreign Language] Now I would like to turn the call back to our CFO, Chee Jiong, who will review our operating and financial results. We appreciate your continued support and belief in Xiniya future.
Chee Jiong Ng: Thank you. Mr. Xu. We are pleased to report another solid quarter of revenue growth. I would like to go over to fourth quarter of 2012 results. During the fourth quarter of 2012, Xiniya reported revenue of RMB532 million, an increase of 10.3% year-over-year; this exceeded our guidance range of 4% to 7%. The Company delivered approximately 1.82 million units during the fourth quarter of 2012, compared with 1.75 million units during the fourth quarter of 2011. The total number of Xiniya outlets increased with a net addition of 103 units since December 31, 2011. This include the number of outlets managed by department store chain, which decreased by 317. 301 of this 317 department store however were permanently converted to authorize retailers to manage retail outlets. This conversion is ultimately due to the change in the business model used by these regions department store chain operators. Gross profit increased to RMB171 million during the fourth quarter of 2012, an increase from RMB169 million during the fourth quarter of 2011. Gross margin during the fourth quarter was 32.3% compared with 35.1% during the same period last year. The decrease in gross margin was primarily due to the sales rebates given to all the Company’s distributors as opposed to the top twenty distributors that were given sales rebates during the same period last year, as well as higher research and development expenses associated with the Company’s 2013 collections. Selling and distribution expenses increased to RMB91 million compared with RMB70 million during the fourth quarter of 2011. This large increase in selling and distribution expenses was primarily due to an increase in advertising and promotional expenses of RMB35 million, training expenses of RMB14.2 million, rack expenses for authorized retail outlets of RMB13.4 million, brand consulting expenses of RMB9.3 million and sales fair expenses of RMB2.3 million. Since July 2011, as part of our company overall strategy to redefine the image of the authorized retail outlets, the company has been paying for shop rack, signage and various other outlet-related accessories for authorized retail outlets open or refurbished on or after July 2011. During the fourth quarter of 2012, the company paid for shop rack, signage and various outlet-related accessories for 92 new retail outlets and refurbished seven retail outlets. The refurbishment of existing retail outlets is expected to upgrade the older retail store image, help to attract consumers into the retail stores coupled into presentation of Xiniya apparel product to consumers and eventually, enhance retail outlet sales. These expenses were approximately RMB18.1 million, or 3.4% of the revenue in the fourth quarter of 2012, compared with $4.7 million or 1.1% of the revenue during the fourth quarter of 2011. During fourth quarter of 2012, administrative expenses were RMB9.5 million, an increase from RMB9.1 million in the fourth quarter of 2011, which was primarily due to increases in staff salaries. Income tax expenses was RMB19.1 million, compared with RMB37.5 million in the fourth quarter of 2011. Net profit was RMB55.6 million in fourth quarter of 2012 compared with RMB112.5 million in the fourth quarter of 2011. This translates into earning per ADS were $0.16 in the fourth quarter of 2012, compared with $0.31 for ADS in the fourth quarter of 2011. Now moving onto our financial position, as of December 31, 2012, the company had cash and cash equivalents of RMB1.1 billion, and time deposits held at bank with maturity of more than three months of RMB15 million. Now we’d like to briefly go over to our full year 2012 financials. Revenue for the year ended December 31, 2012 were RMB1.4 billion, an increase from RMB1.2 billion for the year ended 2011, this represent an increase of 17.3%. Gross profit for the full year was RMB461.4 million, an increase from RMB404.9 million for the full year of 2011. Gross margin decreased to 33.3% in 2012 from 34.3% in 2011. Net profit for the full year 2012 totaled RMB175.5 million, a decrease from RMB251.7 million for the full year for 2011, this represent a 30.3% decrease. Earnings per ADS were $0.49 in 2012, as compared to $0.69 in 2011. Now let’s turn to guidance, we expect to realize revenue growth of approximately 1% to 5% during the first quarters of 2013. Our earnings per ADS were expected to be in the range of $0.5 to $0.9. This conclude our prepared remarks, we are now ready to take your questions. Operator?
Operator:
 :
Unidentified Analyst: Hi, hello thank for taking my question. And my first question is, can you predict your cost managing trends, because I noticed that in the close quarter day with the other different clients in December.
Chee Jiong Ng: And the term is that we understood the cloudy environment in China and this has been very competitive with all competitors. So we have initiated many initiatives to overcome this short come challenges. We expect gross margin to be the days of declining, as we say that we have reduced our prices in 2013.
Unidentified Analyst: Okay. So maybe to what level are you expecting?
Chee Jiong Ng: We reduced our prices about 2.2%, so we expect the gross margin to reduce our prices about 2.2%, so we expect the growth metrics to reduce as you know kind of trend.
Unidentified Analyst: Okay.
Chee Jiong Ng: Is it the end of your question?
Unidentified Analyst: No, no, I have another question, sorry.
Chee Jiong Ng: Okay. Please go ahead.
Unidentified Analyst: My second question is regarding your inventory, I know just I assumed – in 2012 the number actually doubled, so regarding the industry I think most companies is talking, so when or why your company has increased your inventory level?
Chee Jiong Ng: You mean the company numbers.
Unidentified Analyst: Yes, the industry numbers – no, no particularly the inventory, the inventory position of your company?
Chee Jiong Ng: Did you mention – so you are looking at 2012 December versus 2011 December? Is that what you’re looking at? 
Unidentified Analyst: Yes, yes.
Chee Jiong Ng: I mean why did the inventories doubled, so in the coming years. Okay, you have to understand where was that inventory and how does the inventory come from. The inventory – how we work with that, we have a sales team. We let the distributors and authorized retailers to place orders with us. Let’s say the fourth quarter is (inaudible) with us. We will send this to our distributor to our OEMs to produce. After they produce, they send the hand developed inventory to us. When you’re seeing the book, it is $100 and we will set of editing to the distributors. So what you see in the numbers in the book is numbers that we (inaudible). So the number fluctuates from months to month, eventually it is about 100% of it. So we look at this, this way; it is not that inventory at the retail centers.
Unidentified Analyst: Sure.
Chee Jiong Ng: It is the quickest transition from the OEM to us and then from us to the distributors. Do you have any more questions?
Unidentified Analyst: No, thanks. It’s very useful. Thank you.
Operator: Thank you. The next question is from the line of Brian Gaines at Springhouse Capital. Please go ahead sir.
Brian Gaines – Springhouse Capital: Hi guys, I know you are engaged in a 10b5 plan, is there any chance you would increase the amount of stock purchases in the open market? You have ample cash and it would be good to see if you guys will increase your purchases.
Chee Jiong Ng: Good. I will divert this question to the CEO.
Qiming Xu: [Foreign Language] If you see on course is that from – we noticed that the high performance was undesirable and given the economic conditions in China and we set plan to look into some of those M&A opportunities because this is clearly an opportunity for us to do M&A and project. So with the amount of cash that we have, we had multi-stability in doing this M&A opportunities and eventually if we have successfully acquired something, it will help the share price eventually. So with that in mind, we still have plans to spend more on the share buyback.
Brian Gaines – Springhouse Capital: Okay. I mean just to be clear, if you can generate a lot of value for your shareholders by buying back stock, you have over $3 a share in cash and the stock at $1.40, so you create tremendous value by buying back shares, most of that – you are buying almost anything.
Chee Jiong Ng: We are fully aware of that, either we will increase the deficit value of the company.
Brian Gaines – Springhouse Capital: Thank you.
Chee Jiong Ng: Thank you.
Operator: The next question is from the line of Ke Chen at Shah Capital. Please go ahead.
Ke Chen – Shah Capital: [Foreign Language] First of all, congratulations on the result and considering what’s going on in the market, Xiniya still have revenue growth and good profit and also very, very strong free cash flow. And you did mentioned you have found short-term strategy and long-term strategy to help the company grow, could you talk more in detail about your short-term and long-term strategy? Thank you.
Qiming Xu: [Foreign Language] Okay, in response to Ke Chen question, in terms of the long-term specific approach, we’ve been operating on one grand since Q1 ’12, and the long run is we’ll have multi-brand kind of operating strategy. With the economic conditions in China now, it will give us good opportunities to look out for ideal brand to complement our multi-brand strategy. In terms of short-term initiatives, given the – building our stocks across menswear industry and also the economic conditions in China, many of our competitors have given more support to their retailers. So we also would like to do the same. We’ve put in a lot of initiatives with more confidence to our authorized retailers, more confident to our dealers. That will help them bring long-term features in the long run. So our competitors brings more support on the retailers. We would do the same to match them. So our view is to give more support to our existing customers, so that then continues to grow with us and stay with us and grow with us in the long run.
Qiming Xu: [Foreign Language]
Ke Chen – Shah Capital: To follow up with your answers, my question is, do you have any plan to bring the global brand to China through (inaudible) authorization at a retailer level?
Qiming Xu: [Foreign Language]
Chee Jiong Ng: To conclude, my question is that, not solely looking at China, we’re looking at global, across many countries kind of product lines. Also if you see, yes multi-brands operating within – in one area, we can put in multi-brand which will complement each other and that will benefit the consumers. So the plan is, we are looking at not just brand, we are also looking at global opportunity.
Ke Chen – Shah Capital: My follow-up question is again, we understand you have all these plans, but this company have lot of cash like, there are (inaudible) and there are also company generate free cash flows and even if you give out 25% dividend it will be a small portion of your cash. And I think the company have a lot of cash due to the strategy which was laid out and we just considering if you consider the shareholders given less or some returns from that dividend. Thank you.
Qiming Xu: [Foreign Language] In response to 100% price from – if we wish to have a real infiltration for both shareholders and as well as the operating requirements of the company and so we’re going to be in the current environment and the cost savings and conditions and competitiveness. Although we have planned for – further plan for M&A as well as the new logistic facilities in the future. We need to ensure all this product portfolios from this to our current cost of growth of the company as more healthy and tougher and healthy growth for the company. So we understand that the dividend will help us to continue to see this, the shareholders who have long-term news for the company to grow faster, to growth in the long run.
Ke Chen – Shah Capital: Okay, thank you.
Operator: (Operator Instructions) The next question is from the line of (inaudible) West Street Capital. Please go ahead.
Unidentified Analyst: Hi, gentlemen. As a follow-up to Mr. Gaines’ question about repurchasing stock, you had mentioned that you were looking to make potentially some other strategic acquisition, do you have any acquisitions at the moment in mind to make? That’s basically my question.
Qiming Xu: [Foreign Language] We have introduced a few new projects. We are currently looking at it. Now it’s premature to talk about specific projects.
Unidentified Analyst: Great, okay. Understood. Thank you.